Operator: Thank you for standing by and welcome to the Jervois Global Q1 2022 Results Investor Call. All participants are in a listen-only mode there will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Bryce Crocker CEO and please go ahead.
Bryce Crocker: Thank you very much. It's a pleasure to be here for what's out third earnings call since the acquisition of Freeport Cobalt now trade-off [ph] of them. I mean what's really pleasing I am with James May, CFO and Executive GM, James will be touching more on the financials, but it's really pleasing to start to see high prices flowing through either Dow or be S&P [ph] the rising prices over the quarter still creating a lag effect but certainly the first quarter EBITDA at $14.9 million on an adjusted basis, strong. The first month we acquired - as I said, this is the third quarterly earnings call the first one is an operating company we owned the facility for a month and the revenue for that month is USD25 million. The quarterly turnover and Q1 averaged $35 million a month that's encouraging. Certainly, if you look at the assumptions that underpin the acquisition, and again I've noted that in prior calls in terms of the commodity pricing and the cash flow projections that underpin that purchase price will continue to exceed them that's certainly been the case. With the adjusted EBITDA just under $15 million for the quarter, I think the EBITDA guidance will remain unchanged. James will unpack that shortly as we deal with our balance sheet. On the operational side, Idaho and São Miguel are both progressing well. We remain on track for Q3 commissioning at or - that what will be the only constant cobalt concentrate - cobalt mine production to the United States in a very long time, which is exciting. São Miguel Paulista the initial partial restart study was released this morning. Again it's a start, but it's encouraging start low capital and we're moving towards I'm currently in São Paulo, and we're looking forward to moving forward to closing the acquisition and restarting that facility, which will be the Latin American nickel cobalt refinery once it's operating. And I guess finally, I've been pleased with the way that our shares are traded. I think the entry into the FTSE although the ASX 300 are very important events for the company. For liquidity and the introduction to our shared register the Umicore refinery is very encouraging. And certainly, that will certainly a personal highlight. As I look at the support that we've got now across equity capital markets have grown across a breadth of investors that we just simply didn't have three, six, 12 months ago. If you turn to the next slide, please to Slide number 5. So moving on into Jervois Finland, specifically, our capital market continues to be healthy. Obviously, the pace of rising prices is moderated over the quarter. And they are headwinds that's up COVID restrictions in China, which many of you will be familiar with, is having significant impact on economic activity in some of the major industrial regions of the country. Russia's invasion of Ukraine, in addition to the humanitarian consequences of Australia's [ph] significant dislocation and commodity markets, including supply chains, and I guess something that many of our peers on the trading side will touch on in their [ph] own to make sense that the public and their own earnings will be on logistics, and what's happening on the supply chain is quite profound. And if you look at our Q1 results, versus the prior year, you can start to see that flowing through the sales volume production volume, to the sales volume for the quarter, 1446 [ph] the production volume for the quarter, a couple of 100 times south of that. And we're not immune to the logistical challenges that's not only from Africa, including mine sources in Africa are getting out inland countries out to South Africa shipping, which you'd be familiar with, but also from pocketed [ph] customers. And then the logistical situation everywhere is just extraordinarily stressed right now so that's an impact in Q1, albeit obviously, where the situation where travel flights finished the quarter almost $40 a pound, which was - purely an improved outcome at the prior quarters. If we move on to Slide number 7 please, so I'll just touch on the market in a little more detail and stepping back U.S. and Europe despite the geopolitical turmoil remain strong and sensing our customer base, Japan is moderating. China was obviously essentially soft to a large extent. So they reduced FY now 8.51 the 20 that we see in Western versus Eastern markets metal prices outside of China are also hovering at around $40 a pound we heard reports of material being moved in China and out of China for up to $5 a pound. Hydroxide payments are slipping down and the Chinese are looking to lose inventory as their production and sales downturn and if we look to the - just to reiterate, obviously, the three components of the business, chemicals, catalysts and ceramics, powder metallurgy and obviously batteries. We selectively choose to participate in these industries in a way that maximizes margin and will continue to do so within longstanding suppliers to maybe build a Fortune 500 companies across these industries for decades. In terms of what we're seeing on the CCC business first of all, and then top right lithium [ph] is obviously very, very strong receiving proper prices. Oil and gas is clearly on the rebound if prices where they are as a result of some of those geopolitical disturbances that we spoke about, that's expected to support hydro. So far catalysts which is up between industry in Europe is under pressure during the supply chain. And every petroleum industry broadly is under pressure with the big industry in particular. But overall, if we look across to the CCC business, the businesses steady we're moving the units as we are clearly seen on the prior slide that we have listeners [ph] to take advantage of because what opportunity to not be would have otherwise. That certainly strong - with CCC, but certainly stabilization group. What we did see in Q1 on the cobalt market was modulation of the rise in price and demand. And obviously, China's a big part of the market that's had a significant switch with their COVID policy. On the powder metallurgy side I mean I'll touch on aerospace here because we'll get that how important aerospace is competitive energy business, the customers that we have there, I mean, there's a position now where they're looking to have to switch out orders, switch out melts to other industries to other customers because Aerospace is bouncing back so as it's bouncing back off a low base, but it's bouncing back strongly. Oil and gas again on the powder, metallurgy, drilling et cetera, strong automotive variable the semiconductor supply chain issues are not resolved by any stretch. So in some customers, we're seeing relatively un-impacted demand and that's there's a degree of variability. On the battery side, batteries would be steady in terms of the volumes that they are moving with clearly the sentiment is strong. This is the part of the business which again, the level of demand is certainly increasing. The inquiries that we're getting here are strong, certainly far in excess of what we saw - selectively [ph] choose to supply in this particular market. And this is certainly an element of strong growth in the future that we'll be looking to, both tactically and strategically in terms of how we can obviously expand our business there in a sensible economic way over time. We can move to Slide 8, and then I'll pass over to James to start running through the financials I suppose.
James May: Thanks, Bryce. So turning to financial performance on Page 8 summarizing strong financial results for Q1, but notwithstanding that there are emerging headwinds, which, were pretty much the current focus of business for the remainder of this year. Starting on the revenue side, as you can see in the chart, really good momentum before successes, quarter of sales price and a, growth is price indicated underpinned by both rising prices and also solid performance in terms of sales volumes through that period. And turning to costs as indicated, but got lower realized – pre-costs in the P&L during the quarter. This was really the result of a net drawdown of Jervois inventory. Inventory comes across from the balance sheet to the P&L had an average costs. And because we buy materials and prices linked to the come up price [ph] and in periods where inventories declined, a couple of prices are going up. This is a terrible impact on margins. The benefit was partially offset by some adverse impacts consistent with what we've seen in the prior quarters where the prices moved up aggressively. Those impacts manifest in the form of a revenue lag as a function of the way we price and sales contracts, and market effects on local purchases. Remember CDs is temporary and transitional effects that happen when the copper price increases. And again, we've conclude some illustrative analysis in the Appendix the presentation to assist with the modeling of those impacts. Overall, strong results and a healthy demonstration of the margins the business can generate. However, we do face several headwinds. While the direct impacts of the business from the Russian invasion of Ukraine has been relatively limited. There's, a small number of consumables so effectively move to identify alternate supply. As Bryce indicated in his summary on the market, some of those indirect impacts are intensified. And, there's, risks around both cost and inflationary pressures and supply chain reliability and managing and addressing those risks is really becoming a key focus in the business late in the year. We can turn to - Page 9 on EBITDA guidance. Overall EBITDA guidance is unchanged for the year as a $50 million to $55 million range, and that's based on actuals for Q1 and Q2 to Q4 cobalt price $39.75 which is close to and spot cobalt price today. Relative to the guidance we issued in January, the favorable benefit as continued rises in prices and the positive impact for the remainder of the year is offset by the effects on EBITDA that we see when prices rise as we indicated just a moment ago, and also downside risk on sales volumes. The lower guidance on sales volumes pretty much linked to the risks of logistics, supply chain interruptions that we just spoke about. And it's noted, we'll continue to focus on managing those risks through the remainder of the year. Just turn next to Page 10 on working capital. Our business in Finland continues to be underpinned by over USD100 million of working capital, which is concentrated in inventories, we saw a net increase of approximately USD10 million in the quarter. In particular, because we purchase compiled intermediate products on a pricing basis linked to the cobalt price, it means that as prices go up, sellers are working capital meets the business requires. So in the quarter, we saw an increase in working capital due to price increases and the flow through effects into inventory and also receivables. And that was partially offset by the debt [ph] over to volumes. So we continue to fund working capital movements in a capital efficient way through the debt facility we have in the Mercuria. We drew down USD17.5 million from that facility in March, which meant it was fully drawn on that date. That helped fund working capital and also the sufficient cash on the balance sheet and 31 March to provide us with financial flexibility in Q2 in the face of continuing market uncertainty.  Bryce back over to you.
Bryce Crocker: Thanks James. We moved to Slide 10. So as you can tell from the overhead, there's been a lot going on, we're taking some of you on the line will be coming to site - shortly with the site visit, which we're excited to be hosting progress is good. Certainly, the site on the ground and in the mine is advancing. The universe portal [ph] we're in a position now where we're starting to begin the declines to the economy, the advances is downhill. On the surface, much of - the equipment is now up on site in terms of longer order up with probably going [ph] about 20 or 30 accommodation modules up waiting in the kitchen. So this is in relation to the camp. The filter presses will be coming up later in the deal. But aside from both the majority of the rest of the equipment out on site ready to be installed. As you can see with the custodian, which is the cylinder object, just in front of the concentrated, crushing shed at the back there and the green that's completed most of the famous works across the course of the winter. We talk about having 30 staff that's really only seen about 100 people on site on any one given day. Weather conditions have been as you would expect at 8,000 feet variable that we've been able to operate safely effectively. [indiscernible] to project director and Kane who just alongside the bison for to the Australians done a fantastic job and language as well something that's the only thing we're setting ourselves up for success has been very positive. Much as the building infrastructure is now in place. The water treatment plants fully commissioned and tested. Certainly we're now looking at switching across and really ramping up underground development. We've got some drills in place. So we've got a drilling underground that commenced by mining to understand all oral body variability and also in relation initiated subsurface drilling which will commence in a month or two once we are locate [ph]. And certainly the initial mine life and reserve associated with the fallen trees on a one-time seven years. We strongly expect that we can expand that certainly a big focus of what we're going to be doing across the year at that underground and from surface. We are going to talk a little bit hedge [ph] more it has like a little wrapper around the financing you've got the first bond which is going down second tranche due – a little later and it certainly progress of sites going on. We've got - the accommodation plant is going to be the conversion facility is going to be important for the inflation out midyear. And that will certainly allow the productivity to ramp up as we move towards commissioning in September. In Q3, with the opening ceremony in September, which - again, is quite exciting for the United States to have own plant and generations. We move on the next slide, so I'm really excited [ph] by the opportunity at some of that represents, because I think this is a it's an example of how you can add genuine value to the facility that you're purchasing BRL125 million. The consideration is event based, it's staggered out to an outside date of June 2023. The essentially restarting a facility for a fraction of what are the costs of constructing the facility to proven facilities operated before. And I think the approach that we're taking to its initial restart is the right approach. Low CapEx, so we're talking 55 CapEx to restart based on materials, facilities processed in the past. So it's a lower production rate than in the past 10,000 pounds of nickel so far in HP and 2,000 pounds of cobalt. So as far carbon hydroxide, we save raw materials to the trading group that will take them through copper. And what I like about this research is it's not a capital that we chose in the pretax NAV to 2025 to clearly pretax - IRR, inflation 50% 47% post accident prospects not really improved and with $8 cobalt and $8 nickel and some $8 cobalt. And again, I think it's appropriate to plan a preview in terms of how we publish long term prices of undertreated studies at this facility are 12 months from production, and we don't have any elevated pricing in those early years and the economics and I've been certainly it's difficult to forecast prices these days. How can the trade nickel for a long time is anyone telling me what they know the nickel price is going to be in three months then suggests that's floating around the market right now is very difficult to project that we've got a high level of confidence that the next three years, we're going to see elevated pricing on both commodities, which is going to underpin the new start here in a way that you'll be perhaps under a large price environment to really fully paid out capital traffic and potentially comfortable costumes, BFS. So this is certainly something that we're moving forward with. In the enterprise, which ultimately was Idaho, the team is working on how that's going to be studying [ph] but it's moving quickly. And opportunities to move south a facility in a low risk way and integrated with RCA at the time of RCA comes down Idaho that's going to be the sensible approach for us moving forwards. The ultimate game is to recycle São Miguel 25,000 plant capacity. And certainly that's something that we're working towards, but equally, I'm a big believer in de risking and investing capital in a measured way. And this is something that I think is an excellent balance. And to be frank, it's really that the current markets provided an opening for this scenario that perhaps wouldn't have been there. Even though the economics are good, right, dollar nickel complained about $5 pay off. Certainly there once you start running more elevated prices during the early years of exchange. And so this is something that we're excited by the prospect feasibility study. I will pass back to you James for finish up on the corporate.
James May: Thanks, Bryce. So on Page 18, see the cash reconciliation chart for the quarter. We opened the quarter with USD49 million on the balance sheet. You'll see the positive EBITDA contribution from Jervois Global some amount of costs elsewhere in the group and then change in capital that we spoke about earlier. The GAAP expanded predominantly IFRS financing and other costs reflected there in the red bars on the chart. We then threw down the strong should the bond from the ICF [ph]. As indicated at the time, we satisfied the cost to complete test drew down that money to continue to be funding for the developments of ICF through the course of this year. And then the final bar there you'll see we drew down the material facility, as previously indicated $17.5 million. So that leaves us with USD 88 million on the balance sheet and debt facility is drawn around USD125 million across the two facilities at the balance sheet date. And pretty when we sort of look at that we've got a portion of that remains dedicated into ICF development, and sitting in my mine of USA, record entity and the balance, they're required to fund the business and also required to ensure we've got the right level of financial flexibility to meet various scenarios ahead of us in Q2, and Q3. So that's a summary of the financial cash position for the quarter. I just want to of summarize couple of other points, I think overall to take a step back and look at our financial strategy, it's really quite balanced. I think we're harvesting the benefits of a robust strategy where we've got both the longer term depth for development purposes ASIO [ph]. That's pretty much going according to plan in terms of the progression and the use of those proceeds. And the Mercuria facility, which really is helping us meet that requirements in the better part of capital prices. And worth noting as well, but that Mercuria facility. It has an accordion feature, there's an uncommitted additional tranche there have an additional $75 million potentially available, an agreement could consent from Mercuria that could increase that facility and continue to provide flexibility if prices continue to move. And then finally, in terms of wider corporate activities, we have continued operator with the link or percentage that's very much focused with dedicated expertise across various domains. And a very busy quarter will make very good strides in terms of continue to build out the operating backbone of our global platform, right across technical commercial business support systems. There's a whole sort of spectrum and really pleased to take strides to not only developing our assets in the asset level, but really providing that purpose backbone. How to Jervois going forward as a truly global operating company. I might just pause there and Bryce hand back to you for any closing remarks before we turn to Q&A.
Bryce Crocker: I guess there's some reference to an operating company clearly results with a heavy focus on Jervois Finland and the cost of the complex. And clearly it underpins it significantly underpins huge volumes today. Well Jervois [ph] will be shortly with the commissioning of what we have - in business doing two other businesses, operating businesses generating cash flow in Idaho and Brazil prove results. And obviously, Idaho very proximate, Brazil is also not that far away in the context of timelines associated in our industry. And I get excited about the fact that it will shortly have three cash flow, generating assets and we'll be talking about earnings, which is just more about this not detracting from anything that obviously is underpinned by Gibraltarian [ph] and results, which is very encouraging. And I think if we look closely, we live in a geopolitical context. It's the regionalization of supply chains, it's real. Certainly, I'm regularly talking to politicians in each of the United States, Europe and Brazil as well. And I'm here this week, a number of our meetings taken up that their request to build through critical minerals and supply chain cooperation with like mine [ph] allies, and wide, we're proud to be playing our part in a meaningful way. And supplying units today into each of these markets, and certainly looking to expand our presence moving forwards. It as good to have quarterly results when you kind of got it right out of the way. Unfortunately, some of the some of the commodity, certainly months has been caused by corporate events. Certainly as it pertains to cobalt, the market is arguably strong. We're not getting pushback from customers and pitch drives, we're not getting substitution at this price. I think we're in a good space and certainly we look at the opportunity the profit represents for Jaguar moving forward them on the doorstep of Europe, has been an established facility as they look to ramp up their electrification, which was a really cool place to do alkalis from outside and play a meaningful part in, in, in both how Europe looks to solve some of its challenges. And also, as the United States looks to do likewise, in terms of the company, and again, I'm proud again of the quality of the team and the work that's gone into those results. And the calibre of the individuals and the work and the dedication of what's really going into what we're looking to create and you really excited to be to be meaningful. So I'll pause and take questions offline.
Operator: Thank you. [Operator Instructions] Your first question comes from Fredrik Stain from Clarkson Plateau Securities. Please go ahead.
Fredrik Stain: Hey, guys, nice to be on the line here and see if we can progress and congrats on the BFS here. I think I actually wanted to focus. A few more questions on SMP here, and the new report. So just giving your comments on what's happening in Finland with certain supply chain issues and just well supply chains in general being a bit strained. Globally, do you think in terms of the timeline around S&P And your Capex, estimate, startup, estimated, etc, that that could be impacted in some way, but by what's happening on the supply side, at the moment, or this report already take that into account?
Bryce Crocker: I don't believe so. We finalized and as part of the study was really initially completed in q4 last year, we made a decision to update that just recently as part of this public release. So it's been reviewed very carefully by us and can be a large part of the manufacturing from time of use, obviously being sourced domestically within Brazil. We're restarting the facility. So this is a refurbishment. And that's where the level of risk is quite different. For example, if we talk about the stage two tools, then that involves long lead items such as autoclaves, it involves potentially pieces of equipment that may not be able to be fabricated that we may choose not to fabricate in Brazil, for the restart of the facility. There are some modifications associated with additional impurities and medical capacity to allow us to process a mix hydroxide probably MHV. It's in terms of the complexity of values. And I think that we're very confident that this is a rapid Brownfield restart. I can tell you that the Desert View of the facility in the past, they can do it much more quickly than wants them to ultimately sign up on the BFS. I think they probably got into BFS is robust, and you can stand behind it and have confidence in it.
Fredrik Stain: That's very helpful. And just on the permitting side with relation to transaction kills, et cetera, you're also confident that that part will be done or completed within the communicated timeline here?
Bryce Crocker: I believe so. It's obviously been frustrating for us and frustrating for investors as they haven't closed the acquisition, we would have also been investing already. But in a different period, there are a number of more means here to sneak around that is in progress. And ultimately, we remain confident that closing will occur so fast.
Fredrik Stain: Yes, super. And just the extra confirmation here, because my line was a bit noisy earlier, just in terms of the guidance in Finland, just a new guidance that also takes into account some sort of cost inflation -- sorry, or twist, tongue twister. But that's also taking to potentially increase costs on the supply chain, given your comments around the market, et cetera. Since the price is higher volumes a bit lower, of course, but seems to be a cost element there as well. That's correct?
James May: Yes, I can take that one. Yes. We do the update based on that updated internal forecast that accommodates a range of factors. So the big buckets really benefit at higher prices than offset by some other sort of transitional effects that we spoke about an EBITDA as prices go up. But as sales volumes and underpinning forecast is also some cost updates.
Fredrik Stain: Okay, perfect. That's all for me, guys. Have a good day.
James May: Thanks, Frederick.
Operator: Thank you. Your next question comes from Andrew Hines from Shaw. Please go ahead.
Andrew Hines: Yes. Hi, guys. Thanks, and well done. What a good quarter is actually better than I was expecting. And I just want to unpack that a little bit. The $14.9 million EBITDA from the first quarter. I was expecting to see that impacted again, by those, those revenue lags that you were talking about in the previous quarter, as the lag between buying products and then selling product as a rising price environment impacts EBITDA. And given that the volumes were down, it looks like that impact of drawing down the inventories has had quite a positive impact on the EBITDA number. And I presume that means James was probably for you that in coming quarters, you're going to need to rebuild those inventories and probably at higher prices in terms of feedstock pricing. So just wondering if you just give me a little bit of guidance on how to think about that. For the next couple of quarters. Are we going to see perhaps the second quarter, coming in a little bit lower as we go and rebuild those inventories? And then a bigger picture question around that for you, perhaps Bryce is you've talked about the supply chain problems and the problems of sourcing material. I suspect that's part of what's happened this quarter. How does that make you think about sourcing feedstock for SMP? And when you start up at the 10,000 ton production rate, how are you locking in materials to feed that refinery? And what sort of pricing are you expecting to be able to the payability rates still elevated? Is that going to be an issue for you getting sourcing material? And does that then start to make you think about wanting to lock in your own sort of dedicated supply of upstream resource for that? 
Bryce Crocker: James, do you want to take?
James May: Yes, sure. Look, I mean, the point you highlight is exactly why, when you take the quarterly result of 15 million in tons, obviously you get to 16, regarding to 50, or 55. And we've already sort of talked about a couple of factors that underpin that. But, again, one of those factors in making our forecast update is a lot of what you described, which is there's some periods where we go down inventory lists and things we will rebuild throughout the year. And that is sometimes effective, becoming gross and leaving us in the distribution EBITDA. So, I think the short answer is yes, think about all those factors as we just get your head around the coming quarters and how can that play it.
Bryce Crocker: And the question that regards to São Miguel, supply chains are stressed right now, that it doesn't mean that units aren't available. There are units flowing that it was taking longer, and as predictable as to when they'll arrive. And the cost of getting them there and is more challenged. But certainly the commodity markets, particularly nickel and cobalt, the flow is setting shops. And so, as we look at São Miguel [Indiscernible] in terms of reside and cobalt hydroxide. And we were running around 6000 tons of purchases today. So another couple of 1000 tons there. And certainly there's regulations that Greg Young laid down because the market is there for additional cobalt hydroxide and certainly have additional cobalt hydroxide are being converted into metal outside of China as advantageous diversified. On nickel, on MHP, it's, again, the number of established suppliers and then we've been quite transparent public about where your natural resource from historically that good facility process, Goro, Ravensthorpe et cetera. So those facility continue, there's a number of others, the commercial team is paused, commencing detailed negotiations, because of the elevated partners. With the 75% payable in studies, that's typically consistent with the commodity price that was also used in capabilities today, I mentioned that hydroxides were ticking down from 90 maybe to the high 80s. Some charge is getting down in front of the natives coming out of China. MHP, still operate around the 90%, pretty obviously talking about 90% of the different price. And we're also talking about a high 80s with a different catalog for us. And so that's really the window that we've got the opportunity that we have kind of wasn't there when you had high capabilities of oil prices. And again, it's -- we don't want to speculate on pricing. But on balance, if I sit here and look at the prices that we had forecast as $8,25 [ph], I feel confident that over the next three years the facilities operating, they're more likely to be above that [Indiscernible]. And so, I think now that we've got the study out, and clearly, we're not going to contract material, although we've got flexibility, particularly with talk a lot of diverse material, until we get through closing and the facilities [Indiscernible], we're not going to be looking to have contracts with commercial surrenders, active. That kind of talking in line as a way of seeing and looking at Partners in terms of how we restart the facility is important. And it's again, it's a different structure than what we're talking about with stage two. So stage two, 25,000 tons, obviously the capital really high, and the rolling of nickel will be larger. So for something like that, then you need to have a degree of contractual turnaround visibility and confidence will extend a number of years. And that can also extend into your other [Indiscernible] question of vertical integration. For a restart, like this could be $55 million to $65 million. So we don't think of it, but equally in the context of the edge of it is today, I mean, the context of the potential margins we can make in the continent that we have in the middle price outlook in the next year or two. And the level of risks that are involved in restarting facility essentially identical to how it operated successfully for 30 years. It's a different use proposition. And I think that's the right approach. And it's now that we do have, as soon as we have definitive visibility on timing, then the commercial team will be able to sit down and negotiate those arrangements with more what ends. On vertical integration and I think we've had this discussion if you want to lock up supplier into a business or file or a business or construction or you can do it through ownership. We've chosen to do it through ownership, for example, to Idaho. We also have an ownership of potential supplier. I'll be at one day with Nico Young in Australia that most people are far forgotten is still part of the portfolio. And it really comes down, I'd say I'm agnostic. It's -- I mean, I think that in terms of where we're taking the company and if look at us as a specialty chemicals company that's selling a high value manufacturing product that's going to find a higher growth sector and in raising and specialty chemicals into a vertical integration. We're not averse to provider that makes sense at the right time for our shareholders, and that obviously includes us. 
Andrew Hines: That's great. Thanks Bryce.
Operator: Thank you. Your next question comes from Tim Hoff from Canaccord. Please go ahead.
Tim Hoff: Hi, guys. Thanks for the question and congratulations on the result. Just wondering at S&P with the CapEx number there, is there a proportion of that there's actually going through and doing work that's going to cover some of the stage 2 CapEx? And I guess, is it or is it sort of staged inside the plant that you can do Stage 1 and then Stage 2, and they're too discreet, sort of bodies of work?
Bryce Crocker: We're refurbishing the entire facility as it was. So it is a 25,000 São Miguel refinery. We're refurbishing to 25,000 tons of capacity. When we put through to a nice trade at the fleet sources, different quality of fleet source versus the nickel carbonate at the facility process. And so we've taken a conservative approach. So the assumption that we've landed on with regard to mass balance and impurity removal capacity of 7,000 tons. Now clearly, once we're in operations, and I'll be getting pressure on the operating system subject to not having consequences for the transients product and the quality of those we look to reestablish key markets is to push them. But the facility itself will be the capacity the refinery fully refurbished. We don't have the capacity to do and the ability to do is to process so far those concentrates that's linked to an autoclave, which has been to the subsequent PFS studies and parallel BFS studies. Michael Rodriguez from Nigeria Canadian School, we sought a new kind of a supervisor. And that's his flow currently with Sharon, as a full time student.
Andrew Hines: Okay, thanks. And in terms of timing in 2023, is a front half or a back half just given there is some work to do there and getting some of the long lead items in?
Bryce Crocker: So they sign on to NASA, but they're concerned about. Could you just repeat the question in terms of the top half? I didn't quite catch that from business side?
Andrew Hines: Yes. Just looking at the restart timeline for 2023, we sort of this is more a second half story or a first half?
Bryce Crocker: It'd be 12 months and then the board increase the capital investment decision. So obviously, we're not going to approve capital until the closing is confirmed. And we've got to date there, but then there's 12 months from there. And as I said, I think the timeline there is attainable. Certainly that's the perspective of local management [Indiscernible].
Andrew Hines: Fantastic. Thank you very much. I'll pass it on.
Operator: Thank you. [Operator Instructions] Your next question comes from Mitch Ryan from Jefferies. Please go ahead.
Mitch Ryan: Good morning. Thank you for taking the question. And I guess maybe Hines has been well covered. But my question was more of a high level. And there's been significant disruption to the functioning of the LME Nickel market. I was just wondering if you were seeing a broader impact on liquidity or price discovery in the cobalt market as a flow on from that? Or if there'd be no effect whatsoever?
Bryce Crocker: Very little effect. And Nickel was obviously subject to which are no answers. And that's one of the outspoken around the challenges of trying to predict near term nickel prices, I think I'm actually much more confident of having an $8 [ph] of long term forecast in the model than what I am trying to predict what the model should have in years, one, two and three right now. But as it pertains to cobalt, we're not seeing and that was a concern on the part of customers where the nickel was suspended. It had prices going stratospheric because clearly there is a degree of substitutability between the two, particularly on the other side of the business that there wasn't really that fortunately, there wasn't really a disconnect with travel marketers continue to function normally, which is positive, both for us and for the customer. Thank you.
Mitch Ryan: Thank you.
Operator: There are no further questions at this time. I'll now hand back the conference back to Mr. Crocker for closing remarks.
Bryce Crocker: Thanks very much. I think I've said that we are excited by a positive quarter, series with the momentum we have. And look forward to returning importers to come to give me an update on progress. I'm pleased that we hope as we demonstrated the team that was assembled Peter and I are delivering quarter by quarter and we have to demonstrate that in conformity and the quarters and years to come. Thanks for dialing in.
Operator: Thank you all for participating. That does conclude our conference for today. You may now disconnect